Operator: Good morning, and welcome to Wolverine World Wide's Fourth Quarter and Full year 2016 Conference Call. All participants will be in a listen-only mode until the question-and-answer session of the conference call. This call is being recorded at the request of Wolverine World Wide. If anyone has any objections, you may disconnect at this time. I would now like to introduce Mr. Chris Hufnagel, Senior Vice President of Strategy for Wolverine World Wide. Mr. Hufnagel, you may proceed.
Christopher E. Hufnagel - Wolverine World Wide, Inc.: Thank you, Andrew. Good morning, and welcome to our fourth quarter and full year 2016 conference call. On the call today are Blake Krueger, our Chairman, Chief Executive Officer and President; and Mike Stornant, our Senior Vice President and Chief Financial Officer. Earlier this morning, we announced our financial results for the fourth quarter and full year 2016. The release is available on many news sites or can be viewed from our corporate website at wolverineworldwide.com. If you would prefer to have a copy of the news release sent directly to you, please call Tyler Deur at 616-233-0500. This morning's press release included non-GAAP disclosures and these disclosures were reconciled with attached tables within the body of the release. Comments during today's earnings call will include some additional non-GAAP disclosures. There's a document posted on our corporate website entitled WWW Q4 2016 Conference Call Supplemental Tables that will reconcile these non-GAAP disclosures to GAAP. The document is accessible under the Investor Relations tab at our corporate website, wolverineworldwide.com, by clicking on the webcast link at the top of the page. Before I turn the call over to Blake to comment on our results, I want to provide some additional context and information. When speaking to revenue, Blake and Mike will primarily refer to underlying revenue, which adjusts for the impact of foreign exchange and excludes revenue from the store closures and exited Cushe business. We believe underlying growth best reflects how our global businesses are performing in the marketplace. In addition, we will be providing adjusted financial results, which exclude restructuring and impairment costs as well as debt extinguishment costs, non-recurring organizational transformation costs, and constant currency results. You can find tables reconciling these disclosures in our earnings release and on our corporate website. I'd also like to remind you that predictions and projections made during today's conference call regarding Wolverine World Wide and its operations are forward-looking statements under U.S. securities laws. As a result, we must caution you that, as with any prediction or projection, there are a number of factors that could cause results to differ materially. These important risk factors are identified in the company's SEC filings and in our press releases. With that being said, I'd like to turn the call over to Blake Krueger. Blake?
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Chris. Good morning, everyone, and thanks for joining us. Earlier this morning, we reported our fourth quarter and full year results for 2016. Fourth quarter revenue of just under $730 million and adjusted earnings per share of $0.33 were both in line with the high-end of our expectations and enabled us to deliver full year results consistent with our original outlook at the beginning of the year, a noteworthy achievement in what continues to be a choppy and uncertain macro environment. Our diversified business model and strong focus on the fundamentals of the business served us well throughout the year. And while we're pleased to have delivered solid financial results in some areas better than expected, we are most excited about our outlook for the future and the progress we've made on our key strategic initiatives. In 2016, we more than doubled our investment in consumer insights, intensified the organization's focus on product innovation, and further optimized our product development process and supply chain for increased speed and efficiency. We invested in our biggest brands and began to streamline our portfolio to focus on global opportunities with the highest potential for profitable growth, including our fast-growing, highly profitable e-commerce business. We have also moved aggressively to right-size our brick-and-mortar store business. Overall, I am pleased with the excellent progress we've made to strengthen our foundation for future growth and position the company for expanded profitability. Our transformation is well underway. Now, as we enter the new year, our brand portfolio is strong and our operating platform is even more efficient. Our investments in key strategic initiatives like consumer insights, international expansion, and e-commerce growth are paying significant dividends, some of which we are just beginning to realize. Operationally, the team has made incredible progress on the inventory front, ending the year with the inventories down over 25%. Our balance sheet is rock solid and we continue to generate very strong cash flow. We have a clear strategic direction for the business and we've embarked on an ambitious transformation initiative, the WOLVERINE WAY FORWARD. Finally, and most importantly, today, I'm convinced we have the deepest, most talented team we've ever had. For today's call, I'll touch on fourth quarter brand group results and then focus the balance of my time on our strategic transformation initiative, the WOLVERINE WAY FORWARD. Mike Stornant will provide more detail on Q4 and full year results as well as our 2017 outlook and our initiatives focused on achieving 12% adjusted operating margin by the end of 2018. Taking a look at our fourth quarter results starting with the Wolverine Outdoor and Lifestyle Group. Underlying revenue was down 1.7% compared to the prior year with Chaco driving very strong double-digit growth; Cat, up double digits; Hush Puppies, flat; and Merrell, down 7%. Merrell's performance improved significantly in Q4 versus the third quarter, largely due to its key product initiatives and new collection introductions. The brand's performance outdoor category, fueled by a number of new products introduced this year, gained share in the U.S. marketplace and grew globally. The Arctic Grip collection like the Moab FST captured the attention of consumers with a true performance innovation story and sold-through extremely well. The brand's active lifestyle category remains challenging and is a critical focus for the brand going forward. Our investment in e-commerce continue to drive robust growth with merrell.com growing over 30% in the final quarter, on pace with its full year growth rate. Looking ahead, we are confident in Merrell's direction. Consumers love the brand, and the injection of updated product design and innovation to keep franchises was critical in 2016. This also provides a proven roadmap moving forward. Building on these efforts, the brand just introduced the Moab 2, an update to the world's leading light hiker; and the Siren Sport Q2, a light hiker designed specifically for women. The brand also anticipates launching its new technical and work program this spring responding to persistent consumer demand. We believe consumer lifestyle trends are evolving in the direction that favors Merrell. I'm also pleased to report that Todd Spaletto has officially joined Wolverine this past Monday and will serve as President of the Outdoor and Lifestyle Group. He brings more than two decades of industry experience with him, most recently serving as the President of the North Face for the last six years. He's a tremendous addition to our team. Moving to the Wolverine Boston Group, fourth quarter underlying revenue grew 6.2% versus the prior year with Keds posting very strong double-digit growth, and both Sperry and Saucony up mid-single-digits. Sperry drove solid growth in the quarter, fueled by the exceptional performance of its boot program and claimed the top selling style in the category for the second straight year. The brand continues to resonate with consumers across a wide variety of product category. Sperry's other key strategic initiatives also showed very good results in the quarter, with both sperry.com and the brands international business up more than 20%. Sperry continues to make good progress on its strategic direction overall, building a more relevant brand and a diversified product offering and a more global distribution base. To capitalize on Sperry's many global lifestyle opportunities, we recently appointed new leadership for the brand; Tom Kennedy, a seasoned executive with apparel, accessories, retail, and athletic experience, who has been with the company for more than a year. Saucony also delivered solid growth to close out the year. Its international business grew high-teens and now represents almost half of total Saucony revenue. As is always the case with Saucony, innovation and exciting new product were the primary growth drivers. The brand launched the Guide 10 early in the quarter and the new Freedom ISO, possibly its best shoe ever in December. Initial sell-in and sell-through has been very strong and momentum is expected to ramp up into this spring. Saucony's product engine, which we believe is among the best in the industry, only continues to get stronger. Closing with the Wolverine Heritage Group, underlying revenue was down 6.1% year-over-year in the quarter with the Wolverine brand down low-single-digits and, base, down mid-single digits as a result of delays in Department of Defense contract awards. Last quarter, we shared that the Wolverine brand was in the process of realigning its distribution strategy by focusing on more premium channels. This strategic move resulted in slightly lower revenue in Q4, but gross margin improved close to 500 basis points and operating margin was up at a very strong double-digit pace. In addition, market share grew in the premium distribution channel and wolverine.com grew well over 20%. Looking ahead, the Wolverine brand has a robust product pipeline and is poised to launch the largest introduction of new product in over 20 years. I will now transition and provide an update on our strategic transformation initiatives. The WOLVERINE WAY FORWARD is a holistic enterprise-wide business initiative designed to transform the company to compete and win in the fast changing global consumer retail environment. As everyone knows our industry, like many others in the consumer space, has experienced a significant shift in consumer behavior and this change continues. We've been on our own path of response to this new normal for several years and recently completed a thorough strategic review of our business in the external environment. Last year, we engaged a leading global consulting firm to provide an objective perspective and to simply help us move faster. As a result, we've launched our transformation initiative, the WOLVERINE WAY FORWARD. We have established a talented team led by Jim Zwiers to drive this critical work for the organization over the next 18 to 24 months. The WOLVERINE WAY FORWARD has four critical work streams. First, innovation and growth. Driving sustained organic growth across the portfolio is the number one priority for the company. We're committed to building great brands by creating spectacular products and telling compelling stories. Moving forward, we will increase our investments in product innovation, consumer insight, demand creation, and the digital social space. We will also focus on key international growth markets as we evolve our global footprint. Second, operational excellence. Today's ultra-competitive global marketplace requires a highly agile organization. We already benefit from one of the best operating platforms in the industry, but today's environment demands continuous improvement. We've made important progress here in 2016, and we'll continue on this path to make the organization more efficient, less complicated, and faster. Third, portfolio management. We remain engaged in the process to streamline the company's brand portfolio and focus our time, energy, and attention on our biggest opportunities. At the same time, we believe our business model sets up well to acquire and integrate new brands and create shareholder value. We remain diligent for opportunities that will enhance future shareholder value, and we have both the financial wherewithal and the organizational readiness for a meaningful acquisition. And fourth, people and team. In any business, the team with the best players win and we're committed to be in the best place in the industry to work. We're recruiting new talent to the organization, and perhaps more importantly, have accelerated efforts and programs to develop the great talent we already have on the field. We recognize that a modern skill set is needed to anticipate the market dynamics that lie ahead. We have an ambitious agenda for the WOLVERINE WAY FORWARD. Financially, our near-term goal is to deliver 12% adjusted operating margin by the end of 2018, and we've aligned our annual incentive compensation plan against our mid-term operating margin target for this year. Throughout Wolverine's history, the company has constantly evolved to meet and exceed the needs and demands of the marketplace. We have a rich history of transformation and success. The WOLVERINE WAY FORWARD is the next chapter in the Wolverine story, and I couldn't be more excited about the road ahead. I look forward to sharing updates with you on future call. And finally, before turning the call over to Mike, I want to provide a little context on the year ahead. While I'm excited about where the company stands today and the opportunities ahead of us, a tepid consumer and choppy retail environment persists. The U.S. holiday season was mixed at best and despite some momentum in the new year, 2017 has had an overall lackluster start for consumer soft goods. Despite the macro challenges, we feel much better about our position for the upcoming year than we did a year ago at this time. We again have chosen to focus on controlling the controllable. This approach served us very well this past year, especially in Q4, and we believe it will continue to serve us well in 2017. We have many competitive advantages: a great brand portfolio; expansive global reach; an excellent operating platform; a strong balance sheet; and a talented and motivated team. On that note, I want to sincerely thank our 6,000 Wolverine team members around the world for their hard work, dedication to the company, and most importantly, their passion for our brands and consumers. With that, I'll now turn the call over to Mike Stornant, our Senior Vice President and Chief Financial Officer, who'll provide additional commentary on our 2016 results as well as share our outlook for 2017. Mike?
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Blake, and thanks to all of you for joining us on the call today. A year ago at this time, we were facing considerable uncertainty, including retailer bankruptcies, elevated inventories in the marketplace, strong currency headwinds, and softness in global demand, marked by slumping commodity prices. Forecasting the business in this environment was challenging as evidenced by many companies in our space who have revised their expectation in recent months. But we developed a prudent outlook and were able to maintain it throughout the year. As Blake shared, we delivered revenue and adjusted earnings per share as anticipated for the quarter and the year. We also significantly exceeded our expectations for inventory reduction which was down over 25%, and operating cash flow generation which was up more than 37% year-over-year. Even more importantly, we solidified our strategic platform and made tremendous progress in positioning the company for future earnings growth. I'm excited to share more on this work and our path for 2017 and beyond. But first, I will provide a brief review of the company's 2016 results. Beginning with our results for the fourth quarter, the company delivered revenue of $729.6 million, in line with our expectations. Underlying revenue was up 0.1% while reported revenue declined 2.9% versus the prior year. Sperry's growth outpaced our expectations entering the quarter, propelled by strong performance in lifestyle boots which fueled mid-single-digit growth for the brand and mid-20%s growth in its owned e-commerce business. As anticipated, Saucony and Keds both returned to growth in Q4 after a sluggish third quarter. Collectively, the Boston Group continued to make progress in growing its international business, posting high-teens growth in Q4. Across the entire portfolio, our international business grew high-single-digits, offsetting the softer U.S. markets low-single-digit decline. Q4 adjusted diluted earnings per share of $0.33 were also in line our expectations. Gross margin improved year-over-year and finished better than anticipated even as we manage inventories down significantly and more than planned. Adjusted diluted earnings per share on a constant currency basis were $0.36 compared to $0.33 in the prior year. As mentioned, we made strong progress on our strategic transformation in 2016. And in Q4, we accelerated a number of key initiatives including a more aggressive store closing plan. We incurred $53 million in discrete cost during Q4, of which $27 million were non-cash. These costs include approximately $18 million for store restructuring related to the closure of 51 stores in Q4 and $7 million for the Stride Rite trade name impairment, mostly related to store closures. In addition, we incurred approximately $17 million of cost related to our debt restructuring and $10 million for cost related to our new WOLVERINE WAY FORWARD strategic transformation. These discrete costs were incurred to address underperforming areas of the business in order to improve the future health and profitability of the company. Including these non-recurring costs, Q4 reported earnings per share were a loss of $0.02. Moving to full year results, reported revenue of $2.495 billion was in line with our expectations. Underlying revenue declined 4.9%, while reported revenue was down 7.3%. Full year adjusted diluted earnings per share of $1.36 were also in line with our expectations. On a constant currency basis, adjusted diluted earnings per share were $1.52 compared to $1.45 in the prior year. On a reported basis, earnings per share were $0.89. For the year, adjusted gross margin on a constant currency basis was 39.7%, an increase of 50 basis points versus the prior year as a result of effective management of product cost, partially offset by store closure liquidations. Currency negatively impacted gross margin by 70 basis points. Reported gross margin was 38.5%. Adjusted operating margin on a constant currency basis was 9.3%, an improvement of 40 basis points compared to the prior year. Total adjusted SG&A expense was down approximately $60.2 million including benefits from store closures, lower variable cost related to the wholesale business, lower pension expense, and lower marketing expense as the company anniversaried some significant one-time marketing investments. Fiscal 2016 reported operating margin was 6.4% compared to 7.5% in the prior year. Net interest expense for the year was approximately $34.8 million, $3.4 million lower than the prior year, largely due to a lower interest rate resulting from our debt refinancing. The full year adjusted effective tax rate was 26.3% compared to 27% in the prior year, due primarily to more favorable discrete items in the current year. Our reported effective tax rate was 20.8%. Transitioning to the balance sheet. Inventory was down 25.3% at year-end, meaningfully better than we expected entering the quarter and in a healthy position as we transitioned into 2017. In addition, accounts receivable were down $35.6 million with DSOs improving by more than five days. Operating activities generated a very strong $296.3 million in cash in 2016, up of over 37% compared to the prior year. Our debt refinancing finalized in Q4 created a more flexible capital structure, with more favorable terms for use of cash and projected cumulative interest savings of $30 million through 2020. Coupled with our new four-year $300 million share repurchase program, we are positioned to return more value to shareholders moving forward. In 2016, we repurchased over 2.8 million shares for approximately $62 million. Our priorities for cash remain the same: drive organic growth, primarily through investments in product innovation, consumer engagement and insights, e-commerce and omnichannel initiatives and demand creation; return value to shareholders through share repurchases and consistent dividends; pay down our debt; and pursue potential value-enhancing acquisitions. Now, I would like to provide additional insight and detail on our operational excellence initiatives. During 2016, we dedicated significant effort to operational excellence, and initiated new work focused on speed, efficiency, and profit improvement. Specifically, we established an internal goal of expanding the company's adjusted operating margin to 12% by the end of 2018. We are committed to accomplishing this by focusing on four key areas. One, a healthier and faster supply chain. Two, an omnichannel transformation that focuses on e-commerce growth and addresses underperforming stores. Three, a more efficient global structure that prioritizes value-added activities. And four, a continuous assessment of our portfolio including new additions through acquisition. We believe that our supply chain is an important competitive advantage for the company and our Global Operation Group continues to drive cost and lead-time improvements as we adjust to changes in the global marketplace and consumer expectations. During 2016, we reduced our factory base by more than one-third while diversifying the geographic footprint of our sourcing network. This has allowed us to leverage our scale and resulted in stronger partnerships with our key vendors in lower product and other supply chain costs. During 2017, we will open the company's first distribution center on the West Coast, which is expected to further reduce time-to-market and logistic costs. In 2017, we've initiated further work to meaningfully reduce material suppliers, optimize our SKU productivity, shorten our concept to market process, and drive further speed and efficiency. We expect our leaner and more efficient supply chain to contribute 160 to 180 basis points of operating margin improvement in 2017. As mentioned, in Q4, we accelerated our store closure plan and we have made further progress so far in the new year. We remain committed to right-sizing our store fleet, taking every action necessary to rapidly shed unprofitable stores. I am very pleased with our progress over the last few months. And as of today, we have line of sight to approximately 110 store closures near the end of Q1 and expect to incur operating losses of about $7 million as we accelerate liquidation of inventory and execute closures during the quarter. We are still in negotiations on remaining unprofitable stores and hope to reach agreements in the next several weeks. This plan is expected to ultimately deliver approximately $20 million of annualized operating profit expansion once completed. In 2017, we expect about half of this benefit, which will improve operating margin by 40 to 60 basis points. We began efforts to streamline the organization at the end of 2015, including restructuring our direct-to-consumer, apparel and accessories, EMEA and Canadian operations. This work continues. With additional initiatives intended to drive greater efficiency and agility, we expect approximately 30 to 40 basis points of adjusted operating expansion in 2017 from these actions. In total, our operational excellence initiatives are expected to drive 230 to 280 basis points of adjusted operating margin expansion. This benefit is expected to be offset by approximately 30 basis points of negative currency impact and another 60 basis points attributable to higher pension, normal inflationary increases, and other factors. The net impact is approximately 140 to 190 basis points of adjusted operating margin expansion, resulting in adjusted operating margin of 9.9% to 10.4% in 2017. We have not assumed any divestitures in our 2017 outlook. We continue to evaluate strategic alternatives for those brands in our portfolio that do not meet our long-term growth and profitability requirements. This process will continue through the first half of 2017. I will now transition to our 2017 revenue and earnings outlook. Entering 2017, we remain cautious in our view of the global macroeconomic and retail environment. Specifically, we anticipate global demand to remain tepid as evidenced by relatively low commodity prices, the U.S. dollar to remain strong, negatively impacting product costs in most international markets, and the retail environment to remain challenged, especially in the U.S. with certain channels facing continued pressure with the potential for additional bankruptcies. We expect fiscal 2017 reported revenue in the range of $2.27 billion to $2.37 billion. This represents a reported revenue decline in the range of approximately 9% to 5%. Currency and store closures are expected to impact revenue by approximately $160 million to $180 million, resulting in 2017 underlying revenue to be in the range of down 2% to up 2%. Gross margin is expected to benefit from supply chain efficiencies related to our operational excellence initiatives previously discussed, partially offset by business mix changes, mostly from fewer stores, and 40 basis points of negative currency impact. As a result, adjusted gross margin is expected to expand slightly. We expect 2017 net interest and other expenses of approximately $29 million to $33 million, and adjusted effective tax rate in the high 20s and approximately $95 million to $96 million diluted weighted average shares outstanding. As a result, full year fiscal 2017 adjusted diluted earnings per share are expected in the range of $1.45 to $1.55, which includes the negative impact from foreign exchange of approximately $0.08 per share. On a constant currency basis, adjusted earnings per share is expected to be in the range of $1.53 to $1.63, growth of 13% to 20%. As discussed, we expect our strategic transformation initiatives will continue throughout 2017. These efforts include approximately $44 million of discrete costs with nearly $34 million related to store closure cost and associated operating losses. Given these adjustments, reported earnings per share are expected in the range of $1.19 to $1.29. We are forecasting full year depreciation and amortization of approximately $37 million to $39 million and adjusted EBITDA in the range of $290 million to $305 million. Capital expenditures are expected in the range of $50 million to $55 million, primarily for investments in omnichannel initiatives, information technology, and the new West Coast distribution center and other facility enhancements. Before closing, I want to mention the change in our quarterly calendar. In order to gain administrative efficiencies and better align with our customers and the industry, we are converting our quarterly calendar in 2017. Our fiscal year-end will not change, but our new calendar of 13-week quarters will result in Q1 through Q3 finishing one, two, and three weeks later than 2016. We have done a lot of work during the past 12 months, crystallizing our operational excellence initiatives and launching an updated strategic platform with the WOLVERINE WAY FORWARD. Our diversified brand portfolio remains strong and our biggest brands continue to make excellent progress towards returning to growth, including accelerated growth in our e-commerce businesses. Our operating platforms are stronger than ever on the heels of the accomplishments achieved this past year and our global network of partners remains one of the key strategic advantages for the company. Although headwinds persist, we are enthused about our position and we believe we are poised to accelerate innovation, deliver earnings growth, generate healthy cash flow and return value to our shareholders. Thanks for your time this morning. We will now turn the call back to the operator. Operator?
Operator: We will now begin question-and-answer session. The first question comes from Jim Duffy of Stifel. Please go ahead.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Thank you. Good morning, guys.
Blake W. Krueger - Wolverine World Wide, Inc.: Good morning, Jim.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Nice finish to the year. I'd like to start with a real high level line of questioning. Can you just, at a high level, provide an update on distribution strategies, speak to how you're containing risk related to troubled retailers, and maybe put some context around channel inventories and how this all shapes up to start the year looking out to 2017?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. Let me try to take a bite at that apple.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Sure.
Blake W. Krueger - Wolverine World Wide, Inc.: On the inventory issue, I mean, when we look back a year ago at this time, our inventories were high, most of our competitors' inventories were high brand owners, and inventory was high at retail. So, there was clearly a glut that retailers and brands had to work through it for the year. That has pretty much been taken care of. We don't expect everybody to have a 25% decrease in inventory like us. But the channels are, in our opinion, are much cleaner this year. So, that's one of the reasons why we kind of feel better about where we sit today than maybe a year ago. We expect there's going to be additional store closures this year. The U.S. remains an over-stored environment, country, and there's going to be more store closures. Sometimes it's hard to predict exactly when and where, but we've taken – we've been very proactive over the last several years as evidenced by last year's Q4 and full year performance to address some of those possibilities. There'll probably be some more this coming year. One of the mechanisms we're using, frankly, to control our exposure there is to reduce our discount – provide additional discounts a little bit upfront, but reduce the payment terms substantially. So, any exposure that we might have in a bankruptcy type situation would be contained and discernible at any given point in time. So, we're doing that in a couple of – with a couple of retailers and we're really pleased how that program is working out because it's leading to additional at-once business and future orders, but it's doing so in a manner where we can control the eventual outcome. And what else, Jim?
Jim Duffy - Stifel, Nicolaus & Co., Inc.: I think that covered it, Blake. Mike, a couple for you, if I may.
Michael D. Stornant - Wolverine World Wide, Inc.: Sure.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Can you speak to the outlook for the international business implied in the assumptions for 2017? And then lastly, just at working capital levels, do you look at these inventory and receivable levels as unusual or do you see them as sustainable in the context of new strategies and new distribution center tightening the product lifecycle and so forth?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. I'll cover the last question first. I think we certainly feel good about the performance on working capital this year. We've put a lot of focus on that as a company and it proves the power of focus, I think, when we have these kind of results. I think these levels of above the inventory and receivables are appropriate for the business. We're going to continue to fight to become more lean. We talked a little bit about SKU productivity. I think that's probably the next level of opportunity we have to drive our inventory turns even more than we did in 2016. So, may have a bit more opportunity there. But fundamentally, I think sort of the DSOs we have on our receivables and the days forward inventory we have are in good position today. So, I see the balance sheet in really strong position, nice net debt position as well as really strong cash on the balance sheet. I think as it relates to the kind of outlook for the year, no question the U.S. marketplace continues to be the most challenging. We do see some expansion in our e-commerce business continuing. So, when you talk about distribution strategy, obviously, we're putting more emphasis and more investment behind what has been a very successful e-commerce platform for the company over the last couple of years, so that will continue and that's mostly in the U.S. market. And our international business is expected to grow in all regions in 2017, not necessarily robust growth in every region, but certainly hopeful it will offset some of the challenges in the U.S. market.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Thanks for that, guys. Good luck.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Jim.
Operator: The next question comes from Steven Marotta of C.L. King & Associates. Please go ahead.
Steven L. Marotta - C.L. King & Associates, Inc.: Good morning, everybody.
Michael D. Stornant - Wolverine World Wide, Inc.: Good morning.
Blake W. Krueger - Wolverine World Wide, Inc.: Hi, Steve.
Steven L. Marotta - C.L. King & Associates, Inc.: Can you talk about your direct-to-consumer channel as a percent of total consolidated sales at this point in time, say, at year-end?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. I mean, obviously, with our store closures, that will be changing substantially. But going forward, we would expect for 2017 to be in probably the low-double-digits range after we have worked through our store closures. That's probably the best way to look at it on a go-forward basis. We obviously closed 100 stores in 2014 and 2015 and another 100 in 2016. We're going to probably close another 110 or thereabouts in the first quarter of this year and then we're left with about another 100 to 105 stores to deal with. But going forward, excluding all the store closures, it'd be in the low-double-digits right now, probably too low from a strategic standpoint, an area certainly that we are focused on.
Steven L. Marotta - C.L. King & Associates, Inc.: Can you offer some guidance on Merrell and Sperry's expectations for sales growth in the first half of the year and for fiscal 2017?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. We don't really do that I – when we look ahead to 2017, certainly, we would be looking at growth for Merrell, for Wolverine, for Saucony. Sperry, a little bit tougher to ascertain, frankly, at this time given the boat shoe market, we're seeing some very early signs of kind of a preppy boat shoe resurgence. I'm not planning on that but we're seeing that on the runways around the world. So, we would expect, maybe for the whole year, Sperry to be more on the flat to maybe down low-single-digits, but the other brands to grow in 2017. With respect to our overall timing this year, I would say right now we expect 2017 to be a bit back-end loaded, but not as much as 2016.
Steven L. Marotta - C.L. King & Associates, Inc.: Okay. And lastly, your inventory expectations for year-end 2017, the delta is fine, up or down low-single-digits. Is that about right or how are you thinking about it?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. I would think about it that way. Obviously, we're going to continue to get some benefit from closing these stores, and we've got some key brands that are going to be growing, so we would expect those things to kind of net out, I'd say, flat to up very low-single-digits.
Steven L. Marotta - C.L. King & Associates, Inc.: Actually, one more question, and just to reiterate what you mentioned at the end of the prepared comments, is that your quarters now will be equally 13 weeks each one of them throughout the year. So, I would assume in the fourth quarter, on a comparative basis, would obviously be the most difficult comparison given the fact that...
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. I think the way to think about that if you're thinking about it for 2017, just sort of the cadence for revenue by quarter, if you were to sort of adjust out about $75 million out of Q4, maybe in your current expectations or your current models and spread that evenly to the other three quarters of the year, that would effectively re-phase revenue by quarter. Margins are going to be fairly consistent. So, from that standpoint, that should give pretty good direction on how to maybe adjust that in your model.
Steven L. Marotta - C.L. King & Associates, Inc.: I assume maybe SG&A cost as well?
Michael D. Stornant - Wolverine World Wide, Inc.: What's that?
Steven L. Marotta - C.L. King & Associates, Inc.: SG&A cost as well?
Michael D. Stornant - Wolverine World Wide, Inc.: Similar – yes. Similar phasing in terms of number of weeks. I would straight-line that.
Steven L. Marotta - C.L. King & Associates, Inc.: Excellent. Thank you. That's helpful.
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah.
Operator: The next question comes from Chris Svezia of Wedbush. Please go ahead.
Christopher Svezia - Wedbush Securities, Inc.: Thank you for taking my questions. Good morning. I just wanted to circle back to Merrell for a second. You talked about a lot of product innovation. Just kind of walk through maybe your confidence to be able to generate revenue growth for this brand after what it seems like it's going to be down maybe high-single-digits, currency neutral in 2016. Just kind of walk through your thought process about why you feel that confident that, that brand will likely grow this year?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. When I look ahead, Chris, I mean, first of all, you have to look at the product pipeline. The team has spent a lot of effort over the last several years on creating a more robust continuous and bigger story of product pipeline. And so, it's as robust, frankly, as I've ever seen it in 20 years. So, when I look at the new introductions coming down the road, the Moab, expanded Arctic Grip programs, the Siren Collection, we know that's going to drive some growth even in the U.S. market, which remains a bit challenging. DTC was up for Merrell in the quarter and I think they finished the year with well over a 30% e-commerce growth rate. So, we expect that to continue. The partnership with Tough Mudder has worked out pretty darn well. When you look at participants and what is meant to the brand in terms of Instagram, Facebook, and the whole digital social issue. That has been a significant uptick there. I think some of the other macro trends are also favoring Merrell, outdoor, healthy, focus on experience and active lifestyle, even in the outdoor sector, people wanting to do more things together, more in a community-based engagement. All of those things kind of tap into Merrell. And then, so you look at the Nature's Gym, the athletic offerings, very robust coming forward, tactical and work is new, the Moab 2, the Siren Sport 2. And then you look into the second half with Arctic Grip, Chameleon 7. So, there's a number of product initiatives here that are going to drive growth next year. I would say that active lifestyle remains an opportunity for the brand. So, today, the performance side of the business with some spectacular products, it's probably about two-thirds of overall revenue and we've got a keen focus to take the active lifestyle side back to 50%, and that's an opportunity for 2017 as well.
Christopher Svezia - Wedbush Securities, Inc.: Thank you. And then for the Keds business, I'm just curious, you said it grew in the fourth quarter, I guess I'm a little surprised...
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah.
Christopher Svezia - Wedbush Securities, Inc.: ...just what are your thoughts about that brand as we move forward?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. A very strong team in Keds. Q4 was a bang-up quarter for Keds. It was up double-digits in all regions across the world, a lot of that driven by the sport and classics categories. So, as we look ahead, we see a lot of opportunity in those categories, retro, sport, sneaker, boots, in addition to its core and fashion offering. So, we do think this is a year when Keds is going to pull back a little bit from some of its more value price distribution in the U.S. So, we think that's healthy for the brand. The brand's going to have a significant improvement in profit contribution, so we think the right thing for the brand is to, frankly, pull back from some distribution here in the U.S. down at the lower end. So, we're excited about 2017 and the future for Keds.
Michael D. Stornant - Wolverine World Wide, Inc.: I think one other thing to add, Chris, is the international momentum for the Keds brand is very strong. So, that coupled with a sort of more focused U.S. distribution strategy bodes well for the business going forward.
Christopher Svezia - Wedbush Securities, Inc.: Okay. Thank you. And just on the gross margin or the operating margin opportunity. You talked about 140 to 190 basis points this year which still leaves a pretty big nut as you go into 2018. Maybe if you can just kind of give us your confidence in your ability to get that additional 150 basis points plus as we go into 2018. Just, say, a little more fine tune what that specific driver will be, whether it's supply chain, whether it's costing, et cetera, maybe just walk through that because we have less visibility to what that opportunity is as we sit here today?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. I would say just from a broader standpoint, the management team is clearly putting its money where its mouth is on this subject. We've modified our annual bonus plan that if there's a significant hit to any bonus payments for less than 100 basis points of operating margin improvement, no change probably up to 150 basis points, a slight positive from 150 to 200 basis points, and a material multiplier add-on above 200 basis points. So, from a broad standpoint, communication to the other companies or for the entire team at the company, we've made those structural changes and that's one piece of evidence on our confidence.
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. I think the other piece too, Chris, we mentioned the fact that we're still in sort of middle to late innings on our store closure plan, so we won't get the full benefit in 2017 from that. There'll be some carryover into 2018. We are spending a lot of energy right now, certainly, as a part of WOLVERINE WAY FORWARD, looking at further operational efficiencies. That was a very small part of the 2017 expansion. We've identified some of that through the work we've done over the last 18 months, but we believe there's certainly more opportunity there. And then, as we pivot the business to more profitable brands and businesses like our e-commerce growth, continue the international growth. We know that we're going to get expansion in growth just from a more positive mix. And we continue to look at our portfolio and we're making business model changes on a regular basis. And so, we've got good confidence in the internal goal that we set for the company. We'll certainly be able to – as we get more deeply into the year, we'll be able to give more clarity on product costs and other measures that will have more certainty about later in the year. So, we don't expect the supply chain improvements in 2018 to be quite as drastic as 2017, but we certainly feel there's more opportunity in that area as well. So, several key opportunities all in the same categories that we've been talking about consistently, but maybe mixed a little bit differently as we transition into 2018.
Christopher Svezia - Wedbush Securities, Inc.: Okay. Thank you, and all the best. Appreciate it.
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Chris.
Operator: The next question comes from Jay Sole of Morgan Stanley. Please go ahead.
Jay Sole - Morgan Stanley & Co. LLC: Great. Thank you. Blake, my question is about potential deal-making. And you mentioned opportunities to maybe add a brand or diversify the portfolio somehow. Given it's an uncertain environment from a trade policy and a tax policy standpoint, how do you incorporate that into your thinking about what you may consider doing? Does it delay what you might to do until there is certainty on those issues or does it not affect it? How do you think about?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. It really doesn't delay our strategic thinking here. So, we – on any acquisition we've done in the past, we've tended to take a longer term view of the opportunity and the brand. When we acquired our Boston-based brands, less than 10% of their overall revenue was international. We knew, based on our business, that that was an opportunity to plug and play those brands into our international network. So, we don't see the current environment really slowing our analysis down. I will say we'll be as disciplined as we've always been in this area, but there may be some opportunities. And I would say we're not just looking at brands and businesses based here in the U.S.A., we're looking at businesses that might be based in Europe or another country, but have the potential to be a global brand. And obviously, with the strong U.S. dollar right now, some businesses are on sale and whether that's a business that is headquartered in the euro or the British pound or some other currencies, there's opportunities (52:57). Really our criteria has not changed, our disciplined approach has not changed. And the current environment, we've been very proactive whether it's tax or trade here, to factor that into our thinking. But longer term, a great global brand is a great global brand.
Jay Sole - Morgan Stanley & Co. LLC: Got it. Thank you. And then maybe, Mike, if I can ask you about the seasonality of the earnings growth as we go through 2017. You touched on it a little bit and it sounded like the first half of the year would be – that you had planned it a little bit like 2016, but not to the same degree. Is that more of a 1Q phenomenon or is it 1Q and 2Q and then a shift in 3Q and 4Q? If you could just give us a little more color on that and maybe just some of the drivers...
Michael D. Stornant - Wolverine World Wide, Inc.: Sure.
Jay Sole - Morgan Stanley & Co. LLC: I know you've mentioned some before (53:43) 1Q and 2Q. That would be helpful.
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. From an earnings growth standpoint, we won't be as heavily weighted in the second half as we would have been in 2016. And from a revenue standpoint, it's the same. Blake mentioned that, I think, we've got some improvements certainly in the middle and third and fourth quarters of the year because of the initiatives, especially in the Merrell business and some of our key initiatives that are about to launch in the middle of Q2 or maybe Q3. So, there's some nice growth planned in the middle of the year, less weighted to Q4. But frankly, the seasonality is a little bit improved on the revenue side and actually a little bit even better improved on the earnings side, kind of balancing between H1 and H2.
Jay Sole - Morgan Stanley & Co. LLC: Got it. And then just...
Michael D. Stornant - Wolverine World Wide, Inc.: I think the one thing to think about for Q1 is the fact that we will continue to operate those 110 stores we talked about in the first quarter. And so, the operating profit expansion that we would have planned for the year won't be quite as great. We'll still get some nice leverage and nice operating profit growth in Q1. But the margin expansion won't be as great in Q1 as the remaining years when – those stores will be closed and behind us.
Jay Sole - Morgan Stanley & Co. LLC: Got it. Understood. And then, maybe just last one for me. Blake, you mentioned that the retail environment in the U.S. particularly is still lackluster. Would it be possible maybe to clarify that somewhat and say, could you compare it to 4Q? I mean, have you seen any improvement? Because it seems like 4Q is particularly weak with bad weather and a lot other things like the shift to online. Have you seen any change or is it really the same environment right now?
Blake W. Krueger - Wolverine World Wide, Inc.: As I look early on in the year, it's pretty much the same environment, highly promotional, the consumer-end looking for some freshness and newness, not a significant change in fashion trends. When you look at all of 2016, it wasn't a spectacular year for footwear, but Q4 was especially weak for footwear, even athletic footwear, when you look at the public market share data. So, we're seeing a little of that carryover into the early parts of this year. On the other hand, I would say inventories across the industry and across retailers are much better than they were last year at this time. So, that's a little bit of a pick-up the other way. Overall, just my opinion, it's kind of interesting right now. I take a look at the U.S. market. As you know, our international market last year basically held serve, maybe a little bit surprising given some of the headlines, but basically held serve. And we think it's going to do that again this year. The U.S. consumer soft goods market is probably a little bit weaker than the overall macroeconomic conditions might indicate. And yet, in Europe, the consumer soft goods market is probably a little bit better than what you would guess from the macroeconomic conditions. So again, it just highlights the need for the company and company's team to be agile, be able to move quickly, reduce concept to market time for its product introductions.
Jay Sole - Morgan Stanley & Co. LLC: Got it. Thanks so much.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks.
Operator: The next question comes from Erinn Murphy of Piper Jaffray. Please go ahead.
Erinn E. Murphy - Piper Jaffray & Co.: Great. Thanks. Good morning. Just a couple of questions from me. I guess first on the gross margin guidance. I think you ended last year down 40 basis points and you're now speaking to some slight expansion in 2017. Just what are the biggest drivers year-over-year for that gross margin acceleration, and then how should we think about first half versus second half?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. So, the big drivers are 160 to 180 basis points for the full year on the operational excellence initiatives, supply chain related that we went through in detail in the prepared remarks. But the offset to that, Erinn, is really the mix shift because of the number of stores that we have closed in 2016, in the latter part of the year, and then the stores that will close in 2017. Obviously, those have higher gross margin, not very good operating margin, but higher gross margin. So, there'll be a shift offsetting that supply chain benefits mostly related to store closures, and then about 40 basis point of FX. Those are the big puts and takes on gross margin. But the supply chain efficiencies flow through the operating margin and, obviously, the store closures with the lower SG&A expense would flow through as well. So, in Q1, we don't expect – we expect kind of flattish gross margins, maybe even down a bit. Again, we're going to operating those stores in Q1. And so, by the end of Q1, they'll be behind us, but the operating margin expansion in the first quarter might be up 70 basis points to 90 basis points. But for the remainder of the year, much higher, obviously, to get us to that full run rate that we talked about. So, that's sort of the best way to be thinking about gross margin and maybe the phasing of the operating margin expansion for the year.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. That's helpful. And then, I guess what provisions did you assume in the gross margin for just the promotional environment? Any markdown dollar kind of reserve you need to take? I mean, how should we think about that side of the equation?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. Well, I think one of the great benefits that we have with our cleaner and better inventory position is we're not nearly as exposed on that as we could have been. Looking at our sell-throughs in Q4 and early Q1 for almost all of our brands, they were very good. We didn't have to participate in the markdown and promotional cadence that might have played some other brands out there, obviously, a testament to the way we've been managing our distribution and just managing inventory levels at retail throughout the whole year. So, we are – we continue to be cautious about the value of excess inventory and our ability to move that in a pretty over-inventoried marketplace as it relates to the close-out channel. And so, I think we are properly reserved in that respect. But otherwise, we don't feel like we have a need to be too conservative with respect to our inventory just given the level and health of the overall inventory position.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. And then just maybe a clarification. I think, Blake, you said that you changed the incentive comp for the management team or for the individual merchant team to basic point of margin versus margin dollar growth? I mean, what kind of benchmarking work did you do when you looked at – from an overall compensation committee perspective? It just seems a little bit odd relative to how we think – how other companies (1:00:54) their teams. I'm just curious on that. But maybe I missed something, too.
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. Just maybe some clarification. We haven't changed, for our annual incentive plan, the underlying measurements which is primarily tied to revenue, pre-tax, and a smaller MBO component. But we have used our, as a bit of a stake in the ground, a rather aggressive goal in the operating margin area as a bit of a multiplier. So, think of it as just a little bit of a multiplier. So, our goals are – and this will be all disclosed in our proxy statement that will be filed here in the next month or so – but think of it as just a little bit of a multiplier where we're focused on no change in otherwise calculated bonuses for the team if we have operating margin improvement in, basically, the 100 to 150 basis point improvement range, but a kicker above that and certainly a kicker below that.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. Okay. We'll look for that. And then just going back to Svezia's question on the 2018 kind of implied operating margin expansion. I mean, you talked about kind of some of the ongoing benefits from the supply chain as well as the store closures should help in 2018. What's your underlying assumption for sales? I mean, are you assuming that sales can go back to like stabilization in 2018 which is part of why that operating margin implied expansion accelerate to get to that 12% or what's the underlying assumption there?
Blake W. Krueger - Wolverine World Wide, Inc.: Obviously, we haven't developed our 2018 operating plan yet. But right now, in our minds, we would be planning on underlying organic growth in 2018 across the portfolio.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. And then just last question, Blake, for you on e-com, you guys have talked about that multiple times in this call, fastest-growing channel, you're putting more resources behind it. Just remind us how big is your Direct dot-com business that you guys operate under the – your individual brand banners today? And then, how are you guys approaching Amazon as a partner? And what are your kind of key strategies to kind of participate in growth with them?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. Right now we would still be in the, overall, across the portfolio, in the single-digit range, on our owned directly controlled e-com business. Obviously, we have a number of partners whether it's retail partners or – as Apple, Amazon, a number of other partners that sell our product online. Amazon today – and frankly, we have kind of a near-term goal to get that to double-digits to 10% and that's kind of our stake in the ground there. But with respect to Amazon and some of the other players, our consumers are shopping at Amazon. And so, for the most part, our brands are placed at Amazon as a – more of a traditional wholesale customer. And they go there and they look for our brands and our product. A little bit more problematic is some of the third-party sites that have sprung up in recent years where you have people with fake retail facetious selling some of your core product, $5, $10 under, to drive people to their site. That takes a diligence in the brand protection added to that I talked about in last quarter's call, and that just becomes a given in today's world. In today's world driven by technology with an incredible shift in power to the consumer, immediate knowledge at everybody's fingertips, the only person that's really going to protect the grand is the brand. And so, we've obviously added resources and are being very diligent in that area as well. And today, in the United States, for example, probably one out of four pairs of footwear are sold online, probably a greater percentage than we would have anticipated 5 or 10 years ago.
Erinn E. Murphy - Piper Jaffray & Co.: Sure. Okay. And then, sorry, I do have one quick question on Tom Kennedy's appointment to President of Sperry, is Rick Blackshaw no longer there?
Blake W. Krueger - Wolverine World Wide, Inc.: That is correct.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. Thank you.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks.
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Erinn.
Operator: The next question comes from Andrew Burns of D.A. Davidson. Please go ahead.
Andrew S. Burns - D. A. Davidson & Co.: Good morning. Thanks for squeezing me in. Blake, in the prepared remarks, you mentioned that you believe consumer lifestyle trends are evolving in a direction that favors Merrell. Could you elaborate on that statement? And more broadly, comment on how current footwear trends pair-up with your brand portfolio? What are you seeing that is an emerging trend that is favorable to your brand? Thank you.
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. From a macro standpoint, we clearly are – remain in the midst of a broad boot trend. It has been here for several years. It can be more on the fashion side, it can be more on the work side, in really anywhere in the middle of the continuum. So, we see a continuation of the boot trend continuing at the consumer level. Athletic, athleisure, sport casual, however you want to define it, is clearly a continuing trend affecting the entire footwear industry. When you look at Merrell, an outdoor brand, one of the best businesses in the outdoor market and you look at their push into the Nature's Gym category with a number of new collections this year, which is more athletic inspired outside training, outside running, just outside enjoyment, I think Merrell is going to be able to take some market share and participate in that segment of the market and that trends very well. In terms of overall broader trends, outdoor is still trending up. Clearly, today's consumer is focused more than it ever has, he or she ever has been in the past on healthy experiences and active lifestyle. And really, probably a pretty significant shift over the last several years to doing things as a group as with your family, with your friends, as part of a community as opposed to an individual athlete conquering the outdoors or setting their personal best record in whatever the activity is. And we see all of that kind of playing into where Merrell is or Merrell is heading.
Andrew S. Burns - D. A. Davidson & Co.: Thanks for the color.
Operator: The next question comes from Jonathan Komp of Robert W. Baird. Please go ahead.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Yeah. Hi. Thank you. Mike, my question relates to the walkthrough you gave for this year, for 2017, the gross versus the net, for the margin improvement. I just wanted to ask, the 60 basis points of offset, I think you have lumped in higher pension expense, normal inflation, and maybe a few other factors. But I wanted to maybe clarify, I don't think I heard any offset from increased marketing investment there or product investment. I just wanted to maybe reconcile that with kind of the bigger picture priorities of driving consumer engagement than investing in demand creation in those types of actions?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. I think, obviously, in that sort of other bucket of 60 basis points, there are a few puts and takes in there. Jon, we haven't a pulled back at all in terms of demand creation, investment in our key brands. There have been – and we mentioned it in the comments – in 2016, we anniversaried some bigger investments that didn't kind recur. But I think as we look forward and focus on what the growth engines are for the company and where we're investing for demand creation and consumer engagement, certainly, our big brands and, more importantly probably right now, our investment behind whether it's capital or demand creation and our e-commerce business is really fundamental. So, we talk about net inflationary cost, that's certainly in there. And we also say that we made some nice improvements in certain other areas that we netted against some of the marketing spend. So, even though, in the aggregate, 60 basis points doesn't look like a lot, I would say most of that is related to sort of continuing to support demand creation for our the biggest opportunities.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Got it. And maybe more of a forward-looking question partly related in 2018, but maybe beyond that. It sounds like 2017 is kind of the last period where flat underlying revenue growth can drive such meaningful margin expansion and understanding there's some carryover benefits still to come after 2017. But could you maybe just talk – it sounds like you're pretty excited about the Merrell product engine in the current form. But when you look across the portfolio, where would you expect the top line growth to really show though first most meaningfully across the brands?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. As I take a look at our brands, certainly, Merrell. We haven't talked a lot today about Chaco. Chaco remains on fire. It'll probably cross the $100 million level this year and we've seen no evidence of any kind of a slowdown for that particular brand. We'd probably see some contraction looking ahead in our Department of Defense business. As you know, that's a low margin, low profit business for us, but that'll probably offset some of the other gains in Merrell, in the Wolverine brand, in the Saucony brand. And then Sperry, we continue to expand our product category offerings in Sperry and we're just – boat was down again in Q4 of last year. Sperry actually took a significant chunk of market share increase in that category. But we're really laser focused on expanding Sperry to other categories. Certainly, the saltwater boot experience has shown that the consumer and retailers are polling for Sperry.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: All right. Thank you, guys.
Michael D. Stornant - Wolverine World Wide, Inc.: Thank you, John.
Operator: We have time for one more question. The last question comes from Laurent Vasilescu of Macquarie. Please go ahead.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Good morning. I wanted to follow up on the full year revenue guide of $160 million to $180 million of decline due to currency and store closures. Can you probably set, in dollar terms, how much of this guide is currency-related and how much of it is due to the store closures?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. About $30 million or so is currency and then we have a range on the stores.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay.
Michael D. Stornant - Wolverine World Wide, Inc.: It's broken down like that.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay. Very helpful. And then, I wanted to follow up on Erinn's question on the gross margin, how many basis points of pressure should we assume for the mix impacts from the store closures? Should we say about 30 bps?
Michael D. Stornant - Wolverine World Wide, Inc.: The negative impact on gross margin?
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Correct, from the store closures.
Michael D. Stornant - Wolverine World Wide, Inc.: From the store closures, it's actually about 100 basis points.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay. Okay.
Michael D. Stornant - Wolverine World Wide, Inc.: We're getting – obviously, getting lots of leverage on the supply chain and product cost side such as a big mix shift because of the smaller store fleet.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay. So, then it's 100 bps – so, 100 bps of mix and then I think you said 40 bps of FX, if I remember correctly.
Michael D. Stornant - Wolverine World Wide, Inc.: Right.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay. And then, can you quantify in dollar terms how much SG&A you're saving in 2017 from the 100-store closures in 2016 and then 110 for this quarter? And then, how much of that are you planning to flow through to the bottom line or reinvest in the business?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. We really don't get into that level of detail on our SG&A as a component of a certain segment of our business. I will say though as we've been clear about, the stores that we're addressing have about a $20 million operating profit drain, or have historically, and the annual impact is about $20 million negative to our operating profit. So, once we're through this restructuring and closure plan, we expect to see that kind of growth benefit the business. Obviously, we have a number of initiatives that are going to create capacity and opportunity for reinvestment in the growth initiatives in the business and we'll certainly give more clarity on that as we kind of finish out our operational excellence work and turn the corner as we begin to talk more about some of those new initiatives later in the year.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay. Very helpful. And then last question. I think on – the inventory is down 25%, how much of that was due to the store closures?
Michael D. Stornant - Wolverine World Wide, Inc.: When we look across the business, we have a low 20% kind of decline in our wholesale businesses as well. So, when you look at a total of 25%, it really cut across both stores and our wholesale businesses. And so, we got a similar benefit, the mix between – in dollars, I don't have right in front of me, but we really saw a kind of improvement across every branded segment of the business.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay. Thank you very much, and best of luck.
Blake W. Krueger - Wolverine World Wide, Inc.: Thank you.
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks.
Operator: Thank you. The question-and-answer session has now ended. I would now like to turn the call over to Mr. Chris Hufnagel. Mr. Hufnagel, you may proceed.
Christopher E. Hufnagel - Wolverine World Wide, Inc.: On behalf of Wolverine World Wide, I would like to thank you for joining us today. As a reminder, our conference call replay is available on our website at wolverineworldwide.com. The replay will be available until March 22, 2017. Thank you, and good day.
Operator: Thank you. The conference has now concluded. You may now disconnect your line.